Operator: Good day, ladies and gentlemen, and welcome to the Matrix Service Company Conference Call to discuss Results for the Fourth Quarter Fiscal 2019. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] I would now like to turn the call over to Kellie Smythe, Senior Director of Investor Relations. Ma’am, you may begin.
Kellie Smythe: Good morning, and welcome to Matrix Service Company’s fourth quarter earnings call. Participants on today’s call will include John Hewitt, President and CEO Matrix Service Company; and Kevin Cavanah, Vice President and Chief Financial Officer. The presentation materials we will be using during the webcast today can also be found on the Investor Relations section of the Matrix Service Company website. Before we begin, please let me remind you that on today’s call, the company may make various remarks about future expectations, plans and prospects for Matrix Service Company that constitute forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed in our Annual Report on Form 10-K for our fiscal year ended June 30, 2019, and in subsequent filings made by the company with the SEC. To the extent, the company utilizes non-GAAP measures, reconciliations will be provided in various press releases and on the company’s website. I will now turn the call over to John Hewitt, President and CEO of Matrix Service Company.
John Hewitt: Thank you, Kellie. Good morning, everyone, and thank you for joining us. I’d like to start today’s call with a discussion about job site safety and our performance in fiscal 2019. While we had an outstanding start to fiscal 2019, we ended the year with a consolidated total recordable incident of 0.59, which is disappointing when compared to our record performance of 0.49 in fiscal 2017 and 2018. While parts of our business achieved excellent performance, other parts did not, and we judge our enterprise performance on this consolidated view. While this statistical variance between 2019 and previous years may seem insignificant to those outside of our industry, it is very significant on how we think about the effectiveness of our safety culture and our drive to zero. Related to our drive to zero, I’d like to share with you today two key focus areas for our company in fiscal 2020. Dropped objects have historically played a major role in incidents across the construction industry. In fact, according to the Department of Labor, the U.S. construction industry has approximately 143 dropped object recordable incidents every day. To prevent the mitigate dropped object incidents from occurring, we are raising awareness across all of our job sites. We’re also proactively educating our people on the importance of having both primary and secondary retention tools in place, elevated walking and working surface protections, safer scaffold construction and better rigging controls. The second area, our tasks involved in the use of our hands and fingers. Hand and finger injuries accounted for approximately 50% of all recordables across multiple industries. In this area, we are implementing a hands-free program, where increased training and engineered tools are used to keep an employee from having to place his or her hands in harm’s way. Organizationally, we are committed to making investments in these program improvements, as well as other initiatives to make our workplace safer. I’m confident that if we create and sustain a safer work environment, combined with a great leadership of our people, safety first culture, we will ultimately achieve our goal of zero. Turning now to our performance and outlook. We’re very pleased to report that the fourth quarter marked a strong closeout to our year, as our previously forecasted outlook for an improved second-half of fiscal 2019 came to fruition. Consolidated fiscal 2019 revenue was up nearly 30% over the prior year, and we achieved earnings per share of $1.01. In fact, the fourth quarter represented a confluence of events, including high maintenance volumes, strong operating performance and positive capital project timing, which resulted in record quarterly revenue and earnings. While Kevin will provide the details on our financial performance, I want to remind you of some key expectations that we communicated as we entered fiscal 2019. We said we will substantially complete lower-margin work taking on during a highly competitive market cycle in previous years. We said we expected higher volumes in our turnaround work, Storage Solutions segment and in the Iron and Steel business. We said we would produce stronger margins in these segments, and we say consolidated revenue and gross margins would improve quarter-over-quarter. We are pleased to report, we have achieved each of these expectations. In addition, we preserve backlog at $1.1 billion, supported by solid project awards at $1.3 billion and we achieved earnings of $1.01 per share while within our annual – well within our annual guidance range. Finally, we have continued to expand our brand across the markets we serve, creating a strong opportunity pipeline that will allow us to build our backlog as we move through fiscal 2020. On behalf of our entire senior leadership team, I’d like to congratulate and thank our employees for their hard work and performance. Looking forward, at recent investor conferences and in our investor road shows, we’ve been asked about our strategy for growth, and more specifically, how we will reach our fiscal 2022 target revenue of $2 billion-plus. The key elements of our strategic plan include safety, people and communication, clients and growth and execution excellence. These four elements are intrinsically linked, and together, lay the foundation for the specific growth initiatives we will undertake to expand the business and continue to build long-term shareholder value. On safety, in this fiscal year, we focused on engineered solutions to mitigate safety risks. We also implemented a world-class HSE Management System that will provide better, more real-time data to focus our actions to effectively improve our performance. We will continue to make investments in our people, training and processes to achieve and maintain a zero incident work environment. Ultimately, our performance is a direct reflection of our greatest resource, our people. We have and will continue to invest heavily in our people to deepen and broaden our bench strength, inspire a great work environment and to further develop a strong communication channels across the organization. In doing so, our teams are actively engaged on important initiatives, including developing the current and future workforce, improving hiring and selection processes, strengthening our learning culture, building an inclusive and diverse workplace, ensuring a harassment-free environment and doing everything we can to workforce health and wellness. Another key aspect of our people strategy is to ensure we have a strong succession process within all levels of the corporation. Let me share with you some exciting changes within our executive team we just announced. At the 47 years in the industry, the last 11 of which was Matrix Service Company, Joe Montalbano, will retire from his role as Vice President and Chief Operating Officer, effective June 30, 2020. In addition to sharing his vast engineering and operational expertise to our leadership teams over the years, Joe has been instrumental in elevating our ability to understand, assess and mitigate project and contract risk. Please join me in thanking Joe for the tremendous impact he has made to not only Matrix Service Company, but also to our industry and the community. As part of the succession transition, we have created an interim role, President Operations. This role will report to Joe from now through the end of the fiscal year and have direct leadership for our three operating subsidiaries Matrix Service Inc., Matrix North American Construction and Matrix PDM Engineering. Alan Updyke will step into this interim role, effective September 3, 2019, and will later transition to the COO position on July 1, 2020. Alan joined our subsidiary company, Matrix Service Inc. in July of 2012 as Vice President of Capital Construction, was subsequently promoted to Senior Vice President Operations in February of 2018, and to President of Matrix Service Inc. Prior to joining Matrix, Alan held various executive roles in the engineering and construction industry. Brad Rinehart will assume the role of President Matrix Service Inc. Brad joined Matrix in 1988 and has held numerous roles over his long tenure with Matrix. Brad has spent most of his career in our Storage Solutions business. Brad was promoted to President, Matrix PDM Engineering in December of 2016. In that role, Brad led the integration of Houston Interests, which tripled our engineering capabilities and positioned the company to take on larger EPC projects. Glyn Rodgers will be promoted to the role of President, Matrix PDM Engineering. Glyn joined Matrix Service Inc. in January of 2018 as Vice President, Strategic Development. Glyn has over 40 years of industry experience, including executive leadership roles in other large engineering, procurement and construction companies. Jason Turner has been with the company since 2006, holding various corporate executive roles prior to being named President of Matrix North American Construction in 2014. Jason will continue in his role as President of Matrix North American Construction and, with Brad and Glyn, will report directly to Alan Updyke effective September 3, 2019. I want to again recognize Joe Montalbano’s huge contributions to the organization, as well as those of Alan, Brad, Glyn and Jason. These executives represent a portion of the depth of the leadership within our organizations. Our efforts related to succession planning, employee development, recruiting and retention have positioned the company for continued success. In clients and growth, as we take on increasing volumes of work and larger, more complex projects, we will continue to make necessary investments in people, processes and technology. We will also pursue strategic opportunistic acquisitions, where there is a good cultural and strategic fit. Our world-class EPC storage and terminal capabilities in crude oil, LNG and NGLs are in high demand for projects that support North America’s energy abundance and United States leading position in the global energy market. This expertise is also advancing our position as a leading contractor of choice for midsized LNG facilities, where significant opportunities exist for peak shaving, bunkering and feedstock for off-grid and remote electrical generation. In Oil Gas & Chemical, we continue to build on our strong position in North America’s refineries gaining market share in long-term onsite maintenance and repair agreements, as well as ongoing heavy and mechanical turnaround activity, capital projects and plant services. For example, today, we announced a five-year contract signed with Shell to serve as their primary onsite mechanical services contractor at their Puget Sound Refinery, where we will provide embedded services, including maintenance, small capital projects and turnaround support. With this award, we added routine mechanical maintenance to the services we have provided to Shell at a number of these refineries through the years, including turnaround, tank repair and industrial cleaning services. We’re very proud of our longstanding relationship with Shell and history of quality services. Our progress to build brand awareness, expand our service territory in midstream natural gas processing is gaining traction. Our project outcomes have been very supportive of the expected margin range in this segment, and we look to continue this growth as the industry builds out its infrastructure. Finally, we are focused on extending our expertise in capital construction, turnarounds and plant services to the petrochemical industry, as it invests billions of new and existing facilities, primarily along the U.S. Gulf Coast. In our Industrial segment, we remain the leading contractor of choice for maintenance and repair services inside North America’s integrated iron and steel facilities and for new capital projects, supporting advanced high-strength steel and other next-generation processes. Our brand in mining and minerals and material handling also position us for improving opportunities when the industrial commodity demand and pricing strengthens for copper and other non-ferrous metals, including gold and other rare earth minerals. Finally, while the power delivery portion of our Electric Infrastructure segment has been challenged by our current limited geographic footprint, significant opportunity exists as a result of aging infrastructure and the need for more reliable, efficient, secure and interconnected distribution. To address the demand in power delivery, we will continue to grow our leading brand position organically beyond our current geographic footprint, as demonstrated by our current expansion into the Midwest. Additionally, we’re actively looking for acquisition targets that fit our strategy, culture and financial expectations. Lastly, the demand for environmentally compliant power generation, fueled by low-cost and abundant natural gas is continuing to create unique opportunities for us to support our strategy of smaller well-defined package work. In execution excellence, we are continually engaged in initiatives that will allow for greater efficiencies and consistent sustainable earnings. These initiatives include, among others, implementation of an enterprise-wide quality management system, enhanced engineering tools, improved business and project management processes and continued strong cash management. We’re also work – at work formalizing our sustainability strategy to tell our story about initiatives already in place and to expand our efforts even further. We want to thoughtfully ensure that we embed a strong corporate social responsibility culture into our business strategy and processes and that we communicate about the results of our efforts to all stakeholders. We continue to focus on these foundational elements of our strategic plan, safety, people and communication, clients and growth and execution excellence. Our top business growth investment areas include: expanding our power delivery reach, client base and revenue through organic growth, strategic acquisitions and capital investment and needed specialty equipment. Expanding our EPC project capabilities, primarily in Storage Solutions and Oil Gas & Chemical by adding people as needed in engineering, estimating and operations to handle expanding workloads and considering bolt-on acquisitions that bring added capacity, expanded geographic reach and new skill sets. Investing in people initiatives, enterprise-wide to ensure we recruit, retain and develop best-in-class people, and that we are creating an inclusive, diverse and safe workplace. Expanding internationally through acquisitions, where we can gain an operating foothold, we will also continue to strengthen our business development activities with internationally experienced people and resources to facilitate market penetration, as well as follow existing clients into these markets. Finally, we will continue to expand our engineering depth and breadth to active recruitment and employee development programs, focused succession planning and targeted acquisitions that support not only our existing markets, but also our strategic growth areas such as chemicals and petrochemicals. We will also consider investments in other areas to grow and strengthen and improve the business among them, acquisitions that help build scale in our Canadian operations and expand our industrial electrical services. We will continue to assess our entry point into the renewable energy space. Pursuit of joint bidding opportunities and/or acquisitions that will allow us to enter the federal market with our Storage Solutions and energy infrastructure capabilities and expansion of our fabrication capabilities and steel plate structures, piping systems, modularization, as well as specialty vessels through equipment investment, acquisition, or both. Making these investments over the next three years, we expect to grow organically year-over-year at a rate of 5% to 8%, with remaining revenue to achieve a top line of over $2 billion coming from acquisitions. With increasing project volume and higher-margin work, as well as a continued focus and proven management of our cost structure, we expect to achieve EBITDA margins of 6.5% and return on invested capital of 12%. While we are confident in our ability to achieve our objectives and we are operating in an environment with strong tailwinds, we will also closely monitor potential headwinds, including macroeconomic, political and other external factors that, as we are all aware, create an environment of global uncertainty. As we’ve experienced in the past, we must always be mindful of market conditions that can impact the timing of project awards and starts, as well as client-spending patterns. These factors can create variability in our quarter-over-quarter award cycle and bottom line performance. While we will watch these conditions closely over the long-term, I remain confident in our ability to deliver continued growth and sustainable shareholder value, because we’re working in a strong diversified markets, where our services are in high demand. We are focused, we have a clear vision and a strategy with experienced leadership, best-in-class people and a solid culture and core values, and we know how to execute. We put a safety first, deliver on our promises and conservatively manage our capital. These elements: demand, focus and execution create significant momentum for higher backlog, revenue, earnings and free cash flow. I will now turn the call over to Kevin to discuss fourth quarter and full-year results.
Kevin Cavanah: Thank you, John. I would like to start by thanking our employees for delivering strong results in fiscal 2019. As John mentioned, we are pleased with both our fourth quarter and full-year operating performance. The fourth quarter continued the five-quarter trend of improving revenue, margin and EPS performance, revenue of $399 million and fully diluted earnings per share of $0.47, represent the highest quarterly operating performance in our history. The fourth quarter is also a strong close to fiscal 2019. Full-year revenue of over $1.4 billion and fully diluted earnings per share of $1.01 mark a substantial improvement over the operating performance over the last couple of years. In fiscal 2019, we saw significantly higher revenue volumes, larger projects, a revenue stream that represented improved earnings potential and higher utilization and leverage of our cost structure. As a result of strong operating performance, we also ended the year in a strong financial position. Liquidity increased to – increased 76% in fiscal 2019 and we ended the year with $242 million, our highest level in five years. Now, let’s talk about the fourth quarter in more detail. As I mentioned, revenue was a quarterly record high of $399 million. This was a significant increase over the fiscal 2019 fourth quarter revenues of $293 million. Storage Solutions increased $53 million, or 55% to $149 million in the quarter on higher volumes throughout the segment, including tank and terminal, specialty storage and repair and maintenance. Industrial revenue almost doubled from $64 million in the fourth quarter of fiscal 2018 to $120 million this quarter. The growth was a result of increased volumes of iron and steel work. Electrical Infrastructure revenue was up slightly from $53 million last year to $54 million this quarter, and Oil Gas & Chemical revenue was $76 million, compared to $80 million last year as a result of lower levels of capital work. The company recorded a consolidated gross profit of $43.7 million during the quarter, compared to $21.5 million during the fourth quarter of the prior year. Our overall gross margin for the quarter was 11%, compared to 7.3% in the prior year. To better understand the significant improvement, we need to look at segment performance. The Storage Solutions and Oil Gas & Chemical segments produced their highest gross margins of the year of 13.9% on a strong project execution. This gross margin performance represents the earnings – earning potential for these segments that is above our normal targeted ranges. Industrial also produced its highest gross margin for the year at 8.5%. Improved margins were created from iron and steelwork and better recovery of overheads, partially offset by margin deterioration on our thermal vacuum chamber project that is nearing completion. The gross margin for Electrical Infrastructure was only 4.3% due to the following. Proceeds received on the settlement of a disputed power delivery contract were less than anticipated, the revenue on our initial organic Midwest expansion produced margins below our long-term expectations, we expect these to improve as the business matures in this new market. And as we’ve discussed before, the power delivery business has not met our expectations recently, and we continue to work to improve the operating performance. I’ll talk about future margin expectations for each of the segments when we review guidance for fiscal 2020. Consolidated SG&A during the period increased to $26.3 million, compared to $20.6 million one year ago. The increase was primarily due to the higher levels of variable compensation expense as the result of the improved operating performance. SG&A as a percent of revenue decreased to 6.6% in the quarter, as compared to 7% in the fourth quarter last year. As a result of the improvements in revenue and gross margins, the company was able to produce quarterly operating income of $17.4 million, net income of $12.8 million and earnings per share of $0.47. Moving to the full-year results. In fiscal 2019, our revenue exceeded $1.4 billion, which was up 30%, or $325 million increase over fiscal 2018. The significant organic growth was driven by Storage Solutions, which increased $207 million, or 66% on increased tank and thermal construction work and higher levels of repair and maintenance spending. And Industrial, which increased $159 million, or 80% on higher volumes of iron and steel spending and increased thermal vacuum chamber work. Offsetting these significant increases were $39 million, or 15% decrease in Electrical Infrastructure revenue due to a strategic shift away from larger EPC power generation projects, as well as lower power delivery volumes, partially offset by higher volumes of power generation package work and a $3 million, or 1% decline in Oil Gas & Chemical segment revenues, as lower volumes of midstream gas processing work was largely offset by higher volumes of turnaround and maintenance work. Consolidated gross margins increased to 9.3% versus 8.4% in fiscal 2018. The improvement was the result of better overhead utilization and the operating performance in the last two quarters of the year. For the year, Oil Gas & Chemical produced a gross margin of 11.3%, as compared to 10.4% last year on strong project execution and improved overhead recovery in fiscal 2019. Storage Solutions gross margins also improved significantly to 10.7% versus 8.2% in fiscal 2019. This is a reflective of strong project execution, higher volumes and an improved market. Electrical margins were 7.1% in fiscal 2019, as compared to 7.2% in fiscal 2018. While we saw a strong operating performance in the power generation portion of the business, the performance of the power delivery business was below expectations. In addition, we had a charge on settlement of a disputed power delivery contract and low margins on geographic expansion revenue. Industrial margins were 6.8% versus 7.3% last year. While the iron and steel business performed well during the year, fiscal 2019 margins were impacted by the deterioration on the margin on a thermal vacuum chamber project that is nearing completion. Consolidated SG&A expenses were $94 million for the year, which was an increase from the prior year, primarily as a result of higher variable compensation expenses associated with improved operating results. Despite the increase, SG&A as a percentage of revenue decreased from 7.7% in fiscal 2018 to 6.6% in fiscal 2019. Due to the improvements in revenue, gross margins and SG&A leverage, the company was able to produce operating income of $37.9 million, net income of $28 million and earnings per share of $1.10. Moving on to our balance sheet and liquidity. During fiscal 2019, we saw our liquidity increased 76%, or $105 million on the improved operating results I just reviewed. We enter fiscal 2020 with a strong balance sheet that includes $90 million of cash and only $5 million of debt. We also have $115 million available under our credit facility, which results in total available liquidity of $242 million. Our approach of maintaining a strong balance sheet and good liquidity remains. We do intend to pursue acquisitions in fiscal 2020, while we’ll do so in a manner that allows us to maintain a strong financial position. Moving to backlog. The company produced a quarter and year-to-date book-to-bill of 0.9 on awards of $351 million in the quarter and $1.3 billion for the year. The company ended the year with backlog of $1.1 billion. While the company did not achieve a consolidated book-to-bill above 1 in fiscal 2019, this is not an indication of a weakened market, in fact, the full-year book-to-bill was 1.1 for Storage Solutions and 1.0 for Industrial. I mentioned previously, that larger projects are making up an increasing percentage of our revenue stream. Increased variability in project awards comes with this change in revenue mix. When we look at our funnel of project opportunities, we see a larger funnel today than we did when we ended fiscal 2019. Our current backlog and the strong funnel should allow us to continue to grow our business as we move through fiscal 2020. Now let’s discuss fiscal 2020 guidance of revenue of $1.4 billion to $1.55 billion and fully diluted earnings per share of $1.10 to $1.40. We entered the year with a strong backlog and improved operating conditions, but as John mentioned, we are also in an environment of uncertainty. Related to the first-half of fiscal 2020, we expect the first quarter revenue to be similar to the first quarter of fiscal 2019, but with improved margins. This is normal in our business due to seasonality in electrical delivery and refinery turnarounds. In addition, the first-half of the year may be impacted by the timing of capital project awards and starts. Therefore, we expect our revenue and earnings to improve as the year progresses. We are maintaining our gross margin ranges of 11% to 13% for Storage Solutions and 10% to 12% for Oil Gas & Chemical. We’re also maintaining our long-term range for Industrial 7% to 10%, however, our ability to consistently achieve this range will be dependent on the mix of work. The power generation portion of the business is operating within our long-term margin range of 9% to 12% for Electrical Infrastructure, however, we continue to work on operating performance improvement in power delivery. Our effective tax rate is still expected to be about 27% and CapEx spend to be between 1.5% and 2% of revenues, as we continue to invest in the business to support growth initiatives. We will now open the call for questions.
Operator: [Operator Instructions] And our first question comes from the line of John Franzreb with Sidoti. Your line is open.
John Franzreb: Good morning, John and Kevin, great quarter.
John Hewitt: Thank you.
Kevin Cavanah: Thank you.
John Franzreb: I actually want to start where you just ended on the first quarter guidance. Sizable drop, I guess in the revenue sequentially. I’m guessing the job profile is the reason why, but is it mostly in storage, or is it someplace else you’re going to see it?
Kevin Cavanah: I don’t think you’re going to see it really in Storage, but I think you’ll see it in the other three segments. Steel work is seeing some headwinds right now on the maintenance side. The Oil Gas & Chemical segment will be impacted by lower turnaround volumes, with basically no turnaround in summer months. And then electricals, the power delivery side is impacted by its peak demand season in the summer. So, again, there’s no outages and there’s minimal work along there.
John Franzreb: Okay.
Kevin Cavanah: So the first quarter being live is normal.
John Franzreb: Okay. I just – I was surprised by the magnitude of it, I guess. On the Oil Gas & Chemical side, the June quarter, despite sequentially down revenues from the March quarter was substantially stronger. Could you address that what’s going on in Oil Gas & Chemical? It’s a really good number.
Kevin Cavanah: Yes. So really we have an excellent project execution across the segments. We continued with good, strong turnaround season. So we had other things contributing to the segment, including engineering work on gas processing, has really benefited the segment. So it’s just good execution throughout the segment. We talked in the third quarter that really just all pieces of that segment was really performing well. We had the same thing in the fourth quarter.
John Franzreb: And would your expectations be that – be the higher-end of the gross margin profile in 2020?
Kevin Cavanah: Yes. I would expect that it’ll vary by quarter. The 10% to 12% range is still what we believe is the right range. If we’re able to successfully grow the gas business, then eventually we may be able to move that range up. But I think, 10% to 11% is really good performance for that segment, considering that I don’t know, 75%, 80% of that segment is reimbursable work. So with that, it’s a little bit lower margin, because it’s lower risk.
John Franzreb: Okay. I guess, one last question. I’ll let someone else chime in. On the full turnaround season and your expectations, can you kind of just – we just came out from great spring one. Can kind of walk us through how the laying out now relative to what you’re thinking, say, three months ago? And when it comes to changes in the jobs, what kind of leeway they give you? How much notice they give you before you see any kind of sizable changes either up or down?
John Hewitt: This is John. It’s John. So our expectation is the fall turnaround season for us will be busy, that our teams will be fully employed, working on turnarounds. And that – the growth in individual turnarounds are hugely not known to us until sometimes as late as when the turnaround starts. When they shut the facility down and they start to look into the different pieces of the plant that they’re planning to repair and they can understand if they’ve had some strong growth there, or some things that change in their market that maybe gives them an opportunity to leave the plant shutdown for a slightly longer period of time and they’ll add some scopes to it. Maybe the facilities that we’re going to be doing turnarounds on, we are also doing the upfront planning, which may be going on for months before we get there. Sometimes we will know that, as we go through that planning process that scopes will be – have a tendency to be growing. But I tell you that probably the higher percentage of the time is that, we don’t know until we actually get into the turnaround.
John Franzreb: Okay, fair enough. Thanks, John. I’ll get back into he queue.
John Hewitt: Okay.
Operator: Thank you. And our next question comes from the line of Tahira Afzal with Keybanc. Your line is now open.
Tahira Afzal: Hi, John and Kevin, congrats on a great quarter.
John Hewitt: Thank you.
Kevin Cavanah: Thank you.
Tahira Afzal: I guess the first question I had, Kevin, in your prepared commentary you mentioned, the back-end loaded nature is partly driven again by really the timing of some new projects ramping up. If you compare the permitting, et cetera, stuff that’s really out of your control in terms of when these projects start, as you look at this year versus last two, is there less dependency on exogenous factors around the same?
Kevin Cavanah: I would say there’s less, we’re pretty highly booked going into the year probably close to 70%, which is a good star for the year. Now, we’ve got a strong funnel, as we’ve mentioned. So the – I guess the big variable that could happen is if those large projects get delayed, but otherwise, we feel pretty confident with the guidance we put out.
John Hewitt: Yes, I don’t think you’re going to see, Tahira, as big a revenue build as you saw this year, right? The change in revenue from Q1 in 2019 to Q4 in 2019, it won’t – it shouldn’t be as dramatic in fiscal 2020, as it was in 2019, because we’re entering the year with what as Kevin said a really solid backlog position, lot of activity in across all of our markets, larger projects in our funnel, we feel very good about a number of them and our position with those projects. But the the timing of those awards is the thing that we’re trying to – we try to handicap with our revenue guidance and ultimately, our EPS guidance. So if they start to enter the – enter our backlog sooner than we’ll see obviously higher revenues in the year. But right now, our expectation is that, dramatic changes in our backlog probably won’t be seeing those kinds of thing until you get into late in the second – or second quarter.
John Hewitt: Got it, John. That’s pretty helpful. And I guess, the second question for me, you talked a bit about your prospects being strong and really if you look at all your publicly traded players, they’ve said something similar. I’m just curious, I know, you’ve seen some dislocation with some very core competitors? How much is that helping you on the margin so far, or is that something that could be a tailwind?
John Hewitt: I think it’s – you can probably say it’s a – there’s a little bit of every story to – in each segment. We’ve got – on some of our segments where we’re chasing day-to-day maintenance in smaller projects, competition remains pretty stiff, especially with the local players on the larger projects. I think some of the big major – bigger competitors that we chase jobs against, they’re getting busy. And so I guess having a tendency a little bit to drive some margins up. And I think the thing that our team’s done a very good job of really getting our brand out in the market, especially in storage and storage terminals, where I think clients are taking us a lot more seriously about the services that we provide and the extent of the services we can provide across that entire value chain. So I think the competitive dynamics, it’s still a competitive industry. We still have to win the projects to get in place, we’re not handed anything. And so we continue to have to work hard for to be able to build our backlog and continue to grow the business.
Tahira Afzal: Got it, John. I would just quickly slip in a third one. I mean, based on the fact prospects are strong. And it seems like you’ve anniversaried out really the tough mix comps that you had in the past. I guess, you’ve got something that helps you in the fourth quarter that might not be there before. But what makes you get to the low-end of your guidance that seems a little conservative? Is that all just a cushion for the macro?
John Hewitt: You’re not going to call one of us a sandbagger at this time?
Tahira Afzal: I was going to call Kevin the super sandbagger. So…
John Hewitt: No, I think it’s probably what – if something dramatic happens in the macro environment, right now, I think, it’d be hard for anybody to handicap what’s going to happen there between the trade issues and global sort of economic uncertainty.
Tahira Afzal: Right.
John Hewitt: So if you put that aside, I think it’s just our normal awards and start cycle that we – it’s just part of the life we lead in this industry. And so, again, us handicapping when those are going to occur and how we built them into our budget models, we’ll have and it will impact whether we think we’re going to be at the low-end of the guidance ranges or the high-end of the guidance ranges. And so, hopefully, we’ve taken the right view on when those things will happen. And our outcomes at the end of the year will be within or at the top-end of our guidance ranges, but we’ll see how that goes.
Tahira Afzal: Got it, helpful. Thanks a lot, John.
John Hewitt: Thank you.
Operator: Thank you. And our next question comes from the line of Bill Newby with D. A. Davidson. Your line is now open.
William Newby: Thank you, and congrats again guys on a great quarter.
John Hewitt: Thank you.
Kevin Cavanah: Thank you.
William Newby: I guess, first is on the award pipeline. You guys are talking about the funnel kind of growing versus where you were this time last year. Where are you guys seeing that specifically? And is it crude? Is it natural gas? What’s – I guess, what’s gotten better?
John Hewitt: I would say probably all the above. So crude terminal and individual tank opportunities that terminals are involved. We see storage and terminal opportunities and NGLs. We see LNG opportunities both in large storage tanks, but also in the mid-scale facilities for peak shaving and ship bunkering. So it’s really across that entire energy storage terminal market.
William Newby: Okay.
John Hewitt: So that in Storage Solutions, in Oil Gas & Chemical, we continue to see a very strong market in refining. How strong that’s going to be will be dependent, again, on whether there’s any significant scope growth and related turnarounds we get into. But we fully expect our crews to be busy in the fall. And what we’ve got lined up and our expectations for next spring will be similar to how busy we were in the spring turnaround last year, the size of which would – is part to – we’re not totally sure all, because it depends on the opportunity for growth. Plus, we were very busy last year. We were the onsite maintenance contractor for BP at their Cherry Point facility. They had a high spending year last year. And that – and we’ve talked about this before. A lot of the the turnaround strength from contractor to contractor depends on who you do business with. And so while some years, your core client base could be spending a lot of money on their facilities, and the next year, they’re not, but your competitor might be inside a different client’s facility, and that’s their year to spend money. So, we kind of judge that by how busy we keep our people what’s our utilization rates. And so we, again, we expect 2020 to be a strong utilization year for our teams.
William Newby: Got it. That’s very helpful. And then I mean, I guess, it seems like a lot of the opportunities you guys are seeing continue to be in storage. And you’re – I mean, you’re starting to get pretty close to, I mean, at least peak levels of what you guys have done historically in a given year of what’s – can you just talk to your capacity in that business, I mean, with the capabilities you guys currently have? How much further can you push that before you really have to think about investing in the business in a more significant manner?
John Hewitt: Yes. I mean are the best. I think we’re in a good spot in our capacity, our projects, there’s a flow in lifecycle to our projects. And we’re – what – where we’re at today with our backlog. We’ve got a good cadence between project-to-project and moving teams around, the strengthening of our engineering business that we did over two years ago with the Houston Interests acquisition has really opened up our capacity there on the front-end and feed studies. And then so when you think about what’s in our pipeline of opportunities and the ones that we have a high confidence level that we think will be able to turn into a contract fits our model and fits our bench strength very well. And so – but we’ll continue to look for top talent to bring into the organization. We’ll continue to look for bolt-on acquisitions, both on the construction and engineering standpoint that we can continue to drive more volume in that business.
William Newby: I guess one more just on that last point, John. I mean, in regards to bringing in top talent, are you – is – has the market for kind of project managers changed at all in the last 12 months with all the kind of volatility you’re seeing it from your bigger peers, or there may be more people looking to move than there were a year ago, or is it still pretty kind of the same?
Kevin Cavanah: No, I man, I would say that, I mean, the – plenty of markets where professional staff is continues to be a competitive market out there. I think, our – when we talked about here in our prepared remarks and the things that we’re doing from a people standpoint to create a great work environment, your Matrix is really about making sure that we can attract some of the best and brightest in the industry and bring them into our organization. And we want people that – when it’s time for them to think about a career change, time to think about where they may have opportunities for their career and for challenges in their career, that they’re going to see our organization as a place they’d like to come to. And so I think that’s important as we think about how we recruit people. And we’re continuing to do that today, continue to find where we can find good talent to bring them into the organization. In some cases, we’re doing that ahead of when we may actually need them. So we’re trying to balance that, that growth in overhead with what we see in our pipeline, and to make sure that we’ve not only – we’re not only bringing top talent in, but that we’re investing in our people that are here that makes them great employees and provide them challenging opportunities as well.
William Newby: Got it. All right, I appreciate it. I’ll hop back in queue.
John Hewitt: Thank you.
Operator: Thank you. And our next question comes from the line of John Franzreb and is a follow-up question. Your line is open.
John Franzreb: Hey, guys, just a couple of things. Last quarter, you talked about exiting the year at a book-to-bill closer to 1.0. It sounded like two questions ago, that maybe the job you expected to come in the fourth quarter has been moved back a couple of quarters. Am I understanding that properly, or is there something else going on there?
John Hewitt: No, there’s not anything else going on there, Kevin, in his prepared remarks talked to you about the Storage was over 1 and Industrial was 1 and the other two segments, while they were up slightly below 1.0, which obviously put the entire enterprise into a 0.9. We’re not concerned about it. We’ve had some –we’ve had some projects that we thought we’re going to get awarded in the fourth quarter have moved into the first and have subsequently been awarded, not major ones. But they’re kind of the ebbs and flows of our normal capital projects that came in and out of the business. And as far as major projects, we had one major project that we thought was possible might come into the fiscal 2019, late in the year has moved out until later in the calendar year, mostly related to the financial structure of that client and how they were going to build their project. And so we still think we’re in a very good place right into that project. And so we’re not – we feel very good about our backlog position. We feel very good about backlog coming into this year and the opportunities in front of us. So, the 0.9 exiting the year at a 0.9 is not really a concern.
John Franzreb: Okay. And I might have missed this also. In the Electrical Infrastructure business, did you reset the gross margin expectations, Kevin? And also, it sounded like that you’re accepting lower-price jobs in order to achieve your goal of geographic expansion? Is that the case? And is that what you said or am I misreading that also?
Kevin Cavanah: Yes. So I’d say that first of all in the geographic expansion, when we’re growing organically, we’ve got to improve ourselves and we’ve got to take the work away from somebody else. And so we may have to get a little more competitive on the pricing when that happens. And it’s also a lot of times reimbursable work, so it may be a little bit lower margin. And we’ve got the 9% to 12% longer-term expectations. The power delivery packages we’re executing now, they’re definitely supporting the rages that support that 9% to 12% power delivery work. We still got work to do to get consistently up in that range. So I would expect this to move towards that range in fiscal 2020. Will we get there? You know, it’s hard to say. When you’re looking to turnaround the business, it takes sometime to achieve.
John Franzreb: Okay. I guess this might be somewhat related, the cash is starting to build, you haven’t executed any kind of sizable M&A deal in a while and you used to attribute it to you wanted to right the ship on the electrical side of the business. I’m wondering, is it the pricing of deals on attractive? Can you talk about the M&A environment and how you view it today versus a year ago?
Kevin Cavanah: I think you mean, for us the way we approach the M&A environment might be a little bit different. I mean, we’re not – we typically don’t like to enter auctions. We’re very focused on the businesses that we’re interested in. And we’re very disciplined about what we’re willing to pay. And so, we’re actively looking at a variety of different – into different pieces of our markets and different target companies in informal dialogues with a couple of different businesses, and will continue to do that. But it’s definitely our intention to – this year, we find the right strategic fit and the right cultural fit with the financial model we look for. This will be the year that we’re – we will be looking for to add some acquisitions into the business.
John Franzreb: Got it. I guess, one last question. On the SG&A side, if you kind of work with that maybe a midpoint of your revenue guidance, Kevin, are we looking at a steady $24 million and change-ish $25 million SG&A number, or are we going to start lower and build, again, as the year progresses, kind of like we saw in 2019?
Kevin Cavanah: Well, so there is a portion of our SG&A that is variable. Our incentive compensation is tied directly to how much money we’re making for the shareholders. So there will be variability each quarter based upon that. But we also talked about, as we grow this business, we’ve got to make the right investments to make sure we’ve got the talents and the resources to effectively execute. So, we’ll still be proving in those investments, but our SG&A is not going to go back down to the level it was in fiscal 2019. So, yes, it’s still going to probably be somewhere around $25 million. And when we get a really big quarter, then it will pop-up a little higher than that.
John Franzreb: Okay, great. Thanks for the color. I appreciate it.
Operator: Thank you. And our next question comes from the line of Noelle Dilts with Stifel. Your line is now open.
Noelle Dilts: Hi, guys, congratulations on a quarter again.
John Hewitt: Thank you, Noelle.
Noelle Dilts: Just a quick question – sure, thanks. Just to get a little bit more detail on how you guys are thinking about the LNG export opportunity and kind of the the timing of some of those larger LNG type projects, as well as chemical projects. How are you thinking about those projects as you move into 2020?
Kevin Cavanah: From a timing perspective, I would say, we’re – our anticipation for the projects that we’re currently active in the large, say, the larger scale projects that we’ve either been the tank working to or that we’re looking at the entire project as an EPC. And to be clear, I mean, we’re not going to be building a multibillion dollar LNG export terminal that’s just beyond our capacity as an organization. But certainly some of the smaller scale ones for export or for ship bunkering is within our bailiwick and we will be – and are engaged in those at some level. So, the timing on adding more LNG-related work into our backlog of any scale, again, would probably be no sooner than second quarter this year probably into the third quarter. But we see that as a variable investment…
Noelle Dilts: [Multiple Speakers]
Kevin Cavanah: Go ahead.
Noelle Dilts: Oh, sorry, I just have the second question. Finish it [Multiple Speakers].
Kevin Cavanah: We see that as a – that we’ve got a very good position in that market as a company and the services and talent we have to offer. And we believe that the LNG market across a variety of the pieces of that market will be part of our – we part of our backlog for many years to come.
Operator: Thank you. And I’m not showing any further questions in the queue at this time. I would now like to turn the call back to John Hewitt for closing remarks.
John Hewitt: Yes. Thank you everybody for listening to the call today, and we look forward to talking to everybody between now and our next call. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone, have a good day.